Operator: Good morning. My name is Chris, and I will be your conference operator today. At this time, I would like to welcome everyone to the Acushnet Holding Corp 1Q 2018 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Tony Takazawa, Vice President of Investor Relations, you may begin you conference.
Tony Takazawa: Thank you. Good morning, and welcome to Acushnet Holdings call to discuss the financial results for the first quarter of 2018. This morning, we are joined by Acushnet's President and CEO, David Maher. David will provide commentary on the conditions in the golf industry, and discuss the performance of our business across our segments and geographies. Next, Acushnet's CFO, Bill Burke, will spend some time discussing the overall financial results for the quarter and full-year. We will be making forward-looking statements on the call today. These forward-looking statements are based on Acushnet's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations. For a list of factors that could cause actual results to differ, please see our filings with the U.S. Securities and Exchange Commission. Throughout this discussion, we will be making reference to non-GAAP financial metrics, including items such as revenues at constant currency and adjusted EBITDA. Explanations of how and why we use these metrics and reconciliations of these items to a GAAP basis can be found in the schedules in today's press release, the slides that accompany this presentation, and in our filings with the U.S. Securities and Exchange Commission. With that, it is my pleasure to introduce Acushnet's CEO, David Maher. David?
David Maher: Thanks, Tony. Good morning everyone, and thank you for joining us on today's call. I am pleased to report that Acushnet posted solid first quarter results driven by new product innovation and good execution by our global team. Consolidated sales of $442 million were up 1.9% year-over-year, and down 2.2% on a constant currency basis. Acushnet's performance for the quarter, as you will hear this morning, is reflective of our two-year product life cycles, notably in golf balls, and also the year-to-year variances in new product launch timing, as is the case with FootJoy golf shoes. That said, we are pleased with how our business is tracking through the first three months of the year, which is best described as a sell-in period. Conversely, the second quarter and especially May and June is far more about sell-through, custom fittings, and inventory replenishment. As the golf season opens up around the globe, the industry is structurally in a good place, and generally optimistic around what has been an exciting start to this season across the worldwide professional tours. And while global weather patterns have once again been a factor early this year, Acushnet continues to deliver on our long-term strategy, while generating positive momentum across our various product categories. For the quarter, the Titleist Golf Club business led the way driven by continued strong demand for Titleist 718 irons and the successful launches of new Vokey SM7 wedges and Cameron Select putters. This was offset by the anticipated year-over-year sales decline in the Titleist Golf Ball business, which comped against last year's successful launch of new Pro V1 and Pro V1x models. For the quarter, we posted net income of $41.5 million, up $3.4 million or 9% year-over-year. Adjusted EBITDA was $77.1 million. Overall, our first quarter sell-in with trade partners was on target. And importantly, we believe the Titleist and FootJoy leadership positions and our product category and geographic diversity position us well for market success in 2018. Affirming the overall health of Acushnet's business and our commitment to return value to our supportive shareholders, I am pleased to announce that the Acushnet Board of Directors has approved the payout of a quarterly cash dividend of $0.13 per share or approximately $9.7 million to be paid on June 15th. We will now take a closer look at Acushnet's four business segments with all results and percentages presented on constant currency. Starting with golf balls, shown on page five, Titleist balls sales were off 9.8% for the quarter. The early headline for the Titleist Golf Ball business in 2018 is the very successful launches of new Tour Soft and Velocity in late January. Both models have been well received, and we are pleased with the early buzz and interest. Our Pro V1 franchise, as noted, comped against last year's new product launch where we benefitted from both a robust global pipeline and the sell off of some prior generation inventory. While Pro V1's year-two shipment profile differs from its launch year, we continue to have the highest expectations for Pro V1 and Pro V1x, which we believe provide golfers with unmatched total game performance and quality. This is supported by our performance across the worldwide tours where Pro V1 is off to a great start, with 74% usage through the Zurich Classic, more than seven times the nearest competitor. And Pro V1 golf balls have accounted for 72% of the wins across all tours, including the past seven consecutive tournaments on the U.S. PGA Tour. Finally, I will note that poor weather did contribute to our golf ball performance in the quarter as domestic ground in play were off 6%, and ex-U.S. grounds declined approximately 10% as many regions experienced cold wet starts to the year. Looking forward, we recognize that our ability to stay out in front in golf balls is rooted in an unwavering focus on innovation excellence. This is driven by Acushnet's commitment to research and development, patent generation, and our manufacturing and process expertise which contributed to leading golf ball performance, quality, and consistency. It is this commitment which is the foundation for the new Titleist AVX golf ball which was launched across the U.S. in late April. You may recall, we test marketed AVX in three states late last year, and have been very pleased with golfer feedback and interest. AVX offers a terrific solution for golfers looking for a combination of distance, soft feel, penetrating flight, and durability in our new high performance cast urethane elastomer cover. AVX is manufactured at Titleist Ball Plant 3, which is right down the road in New Bedford, Massachusetts. As the season progresses and we ramp up production we look forward to launching AVX in ex-U.S. markets after the U.S. Open. Now, moving from golf balls to golf clubs, Titleist Clubs posted a healthy 10% sales increase in the first quarter behind a good mix of at-once custom fitting demand and new product pipelines. This growth was driven by continued momentum in 718 irons and 818 hybrids, and the launches of new Vokey SM7 wedges and Cameron Select putters. The entire 718 iron family is performing well and meeting our high expectations. And we are especially pleased with how well AP1 and AP2 are checking through alongside AP3 which has quickly become our top selling iron. On the PGA Tour Titleist irons, hybrids, wedges, and putters have been the most played so far this year. And Titleist drivers are prominently positioned as the number two driver on tour. The Titleist Golf Club business is healthy and fueled by great new products, robust pyramid usage, and a talented network of club fitters. And while fist quarter weather was not ideally suited to club fittings, we were pleased with the amount of activity and interest around Titleist irons which we attribute in part to our increased advertising support. Next, moving to slide six, and Titleist Gear, gear sales were up four-tenths of a percent for the quarter, an early season response to our 2018 product line has been positive. We continue to fortify our gear supply chain and design capabilities with the goal of making the game's best-performing highest quality gear products. We believe that our good results over the last couple of years are evidence that these efforts are paying off. Looking forward, our team will work to continue to refine and improve upon our core product lines while mixing in special collections and limited edition offerings to generate added excitement around Titleist Gear. Now moving to our final segment, FootJoy, the number one shoe and glove in golf, which was down 5.7% versus last year. The year-on-year sales comparison was impacted mainly the planned timing of footwear launches. And we believe, to a lesser extent, unfavorable weather. To provide some context, in the first quarter of this year we launched the premium Tour-S golf show which compliments our Pro SL spike-less franchise. However, we did not comp against last year's ContourFIT launch as our new ARC SL and FJ Golf casual lines were instead launched in April of this year. While these factors impact the year-over-year comparisons, we are pleased with the trends and overall architecture of the FootJoy shoe line which continues to set the standard for footwear performance, comfort, and style. FootJoy apparel is also performing very well. We are pleased to note that the men's line recently achieved the number one position on course in the U.S. market. And our women's athleisure collection has also become a leading apparel choice for golfers looking for performance and fashion, and with the golf authenticity of FootJoy. Lastly, FootJoy Gloves remain the undisputed number one on tour and in the market. Every FootJoy glove is made to the highest quality standards by our team of dedicated Acushnet associates. Now looking at our business regionally, on slide seven, generally the geographic results were impacted by the planned for year-over-year comparison in the Titleist Golf Ball business, which I spoke to previously. U.S. sales were down 1.7%. On a constant currency basis EMEA sales were off 5.2% for the quarter in what was the hardest hit region from a weather perspective as rounds of play in the first quarter were often excess of 20%. Acushnet's Japan sales declined 1.4%. The Japan golf retail market however had a strong opening quarter with retail sell-through trends indexing positively in just about every product category, and most notably in golf clubs. Titleist and FootJoy sell-through was also strong for the period. Korea sales were down 2.3%. Korea's vital signs remain healthy, and we continue to have confidence in the market. However it was a slow start in the region due to unseasonably cold weather. Overall, our major markets are stable. We have strong category positions. And there is excitement for our new product offerings in the start of the golf season. We look forward to improving conditions as we soon enter the heart of the golf season. As we look at 2018, we like our positions and remain confidently on track to achieve our goals for the year. We feel strongly the golf industry is structurally in a good place with supply and demand more in sync than we have seen in many years. The professional game is captivating and benefiting from a talented group of exciting younger players competing week to week. The dedicated golfer, defined by the willingness to invest performance-oriented products which help them play their best golf, remains a healthy and vibrant market opportunity. Acushnet Associates our valued trade partners are working together to deliver exceptional products and services to golfers. The Titleist and FootJoy innovation engines are in high gear. And we have delivered a number of compelling new products recently with more to follow throughout 2018. And our strong operating model is enabling us to invest in our future while also returning capital to shareholders and reducing debt. In closing, my fellow associates and I are optimistic about the future. And we remain confident in our positioning as an attractive long term, total return investment opportunity for our shareholders. I appreciate your interest in Acushnet, and will now turn over the call to Bill who will provide added insights into our first quarter financial performance.
Bill Burke: Thanks, David. Good morning to everyone on the call. As David indicated, we had a solid start to the New Year. Consolidated revenue in the quarter was $441.8 million, up 1.9% year-over-year and down 2.2% on constant currency. Q1 gross profit was $227.7 million, up 0.6% from last year. And gross margin was 51.5%, down 70 basis points year-over-year. The decline in gross margin was largely expected and was a result of a mix shift from Pro V1 and Pro V1x models to our new performance models introduced in the quarter. This decline was partially offset by a higher margins and FootJoy Golf Wear, Titleist Gear, and Titleist Clubs. Looking at operating expenses, SG&A of $151.4 million was up 2.4% versus last year. SG&A, however, was essentially flat year-on-year with the increase primarily due to changes in foreign currency exchange rates which accounted for $3.9 million of the increase. In Q1, research and development expense of $12.4 million was roughly flat with last year, down $100,000 million; Q1 interest expense of $4.4 million increased by $1.5 million from last year. This increase was primarily due to higher average outstanding borrowings compared to the first quarter of last year when our delayed draw term loan A was only outstanding for one half of the quarter. In addition, we now have higher average interest rates on outstanding borrowings. Our Q1 effective tax rate was 26.1%. The year-over-year decline is primarily a result of enactment of the Tax Cut and Jobs Act and changes in geographical earnings mix. As we continue to review interpretative guidance issued in conjunction with the Act, we now believe that our ETR will be closer to 27% for the year 2018. As a result, our Q1 net income attributable to the Acushnet Holdings of $41.5 million improved by $3.4 million or 8.9% over Q1 of last year, driven by lower income tax expense, partially offset by lower income from operations and higher interest expense. For the quarter, adjusted EBITDA was $77.1 million, down $1.4 million from prior year. To assist in your review of this calculation, we provided a reconciliation of adjusted EBITDA in our earnings release as well as on the slide presentation. Looking to balance sheet, we have $46 million of unrestricted cash on hand as of March 31, 2018. Total debt outstanding at quarter-end was approximately $576 million. And we had ample borrowing capacity on our revolving credit facility of approximately $143 million. On a rolling four-quarter basis, our total debt to adjusted EBITDA was 2.3x. We'll continue to focus on reducing debt as we look to strengthen our balance sheet over the course of the year. Inventory levels at quarter-end appear somewhat elevated at $663 million, up $49 million from last year. Please note, however, that changes in foreign currency rates account for approximately $50 million of the year-on-year increase. But other factors contributed to the increase include three major club launches that are straddling the first and second quarters, the timing of footwear launches when compared to prior year, and our growing presence in apparel which is more inventory-intensive, but we're comfortable that our inventories are clean. And that as new products roll out, inventory levels will become normalized. CapEx for Q1 was $5.9 million. For 2018, we still expect CapEx to be approximately $34 million. While the good portion of this spend is maintenance related, we also plan to make additional investments in innovation and technology to drive continued market leadership and future growth. We believe this is an excellent use of capital. As David mentioned, we're pleased to announce that the Acushnet Board of Directors has voted to declare a $0.13 dividend this quarter. Our strong dividend continues to be indicative of the confidence we have in our strategy and cash generation capabilities moving forward. As to the outlook for full-year 2018, we continue to expect reported sales would be in the range of $1.590 billion to $1.620 billion. On a constant currency basis we expect revenues to increase in the range of up 1.2% to up 3.2% versus last year. Although we've experienced strengthening of some key currencies over the course of the quarter, we don't typically adjust our forecast for currencies until Q2 after we've had a chance to analyze key currency movement over a longer period. Also, as a reminder, we largely hedge our international exposures so a strengthening of ex U.S. currencies would positively impact revenue, but would not have a significant impact on earnings. Lastly, we continue to forecast our adjusted EBITDA for 2018to be approximately $225 million to $235 million. In summary, 2018 is off to a good start as our new products are performing well, and the team is executing against our plan. We remain committed to generating shareholder value over time through a laser-like focus on the dedicated golfer, investing in product innovation, continued operational excellence, and delivering earnings growth. We'll continue to focus on debt reduction to increase our financial flexibility. And our dividend policy will always a subject of ongoing review to ensure we provide an attractive yield and payout. And lastly, our capital deployment strategy will also include reviewing selective M&A opportunities that may present themselves. With that, I'll now turn the call over to Tony for Q&A.
Tony Takazawa: Thanks, Bill. Chris, can we open up the lines for questions, please?
Operator: [Operator Instructions] Your first question comes from Simeon Siegel of Nomura Instinet. Your line is open.
Dan Stroller: Hi. This is Dan Stroller on for Simeon. Thanks for taking our question. Within the gear business we were just wondering if you could comment on the ASP increases, is there any one category were the increase was more material? And then how should we think about price as a driver going forward. Thank you.
Bill Burke: Hi, this is Bill. It really is across all three categories of the gear business. And it's incremental across all, and it really has to do with product innovation and the quality of our products out there, and our ability to garner [ph] higher price for it.
Dan Stroller: And then I had just one more, if I can. Is there any color on what you've seen quarter-to-date particularly with irons and fitting?
David Maher: Yes, as mentioned in prepared remarks, weather worked against us from a fitting standpoint, but our iron business held up real strong. And we actually had a bit more robust fitting environment and activity than we would've thought given weather which we attribute to strong demand for the product, number one. And then also some different messaging, increased advertising we employed throughout the course of the launch in the last six months. So while you may suggest that weather would have been a drag on the iron business, we didn't see that in the quarter.
Dan Stroller: Awesome. Thank you very much.
David Maher: Thank you. Next question, please.
Operator: Your next question comes from the line of Kimberly Greenberger of Morgan Stanley. Your line is open.
Kimberly Greenberger: Great. Thank you so much. Bill, I wanted to ask about the gross margin in the quarter. I think you mentioned that there was a mix shift in your golf ball business out of the Pro V1 into performance balls given this is a -- last year was the Pro V1 launch. I'm wondering if there was also a category mix shift impact in your gross margin line, meaning with lower golf ball revenue year-over-year and higher revenue in other, let's say, lower margin categories. Was that also at play?
Bill Burke: No, it actually is primarily the result of what you initially mentioned. And this is typical of an even number gear when you're comping against that large Pro V1 launch that Dave spoke of in his opening comments. It was actually mitigated by increases in all three other categories or all three segments and other categories. So there wasn't so much a category mix of anything going on there. It really was a result of Pro V1, with all three segments contributing to mitigate it.
Kimberly Greenberger: Great, thank you. And then just to follow-up on gross margin, are you seeing any sort of input cost pressures given higher oil prices. And then separately, I just wanted to ask about your comment on interest rates. Given the rising interest rate environment that we're in it's obviously understandable you'll be seeing slightly higher rates. How are you thinking about the timing and pace of debt pay down given both what's happening in the current interest rate environment, and then that the forecaster projections here over the next year?
Bill Burke: Okay, to the first one. We have seen some oil price increase, but that doesn't always translate into increases in polybutadiene, our major commodity that we use in golf balls. In fact, we are forecasting some modest increases in polybutadiene, but they're not significant right now at present, so. Yes, we are factoring in higher rates over last year. And we certainly expect, I think that predominantly we're seeing that we're expecting at least another two rate increases this year, that's built into our forecast, but [indiscernible] is not going to significantly impact our ability to pay down debt and achieve somewhere around our 2X leverage target we're looking for at year-end or early 2019.
Kimberly Greenberger: Great. Thank you so much.
Tony Takazawa: Thank you. Next question, please.
Operator: Your next question comes from Dan Wewer of Raymond James. Your line is open.
Dan Wewer: Thanks. Dave, and you know, make sense why the golf ball revenues would be lower compared to last year given last year was a product launch for the Pro V1 family. But we also look at the revenues, not against last year, but against 2016, which is the second year of Pro V1 and that product cycle. And revenue is still down compared to the second year of that previous cycle. What would account for that? Do you think it's change on golfers' preference for lower compression balls that AVX is going to target?
David Maher: Well, Dan, the two themes that emerge in response to your question, certainly weather played a part of it, right. But notably it was launch cadence. If you look back in '16 as well, we were still shipping product to some 600 doors in terms of stores that were open in the market then that are not open today. So the '18 to '16 view requires some color and commentary. But again, as stated in my opening remarks, the ball business came through about as we expected for year two. We had some highs on our performance models of Tour Soft and Velocity, which we're real excited about. And again, a lot of this was a function of just the cadences of our business. We talked a little bit about AVX, but that story really didn't unfold till April when we started the national launch.
Dan Wewer: Okay. Second question on the revenue guidance not changing, but it looks like the growth rate in constant currency was reduced slightly. Correct me if I'm wrong, but what would've accounted for that reduction in the constant currency revenue growth rate?
David Maher: No, those rates did not change from prior, Dan.
Dan Wewer: Didn't change there?
David Maher: No.
Dan Wewer: Okay. And then the last question, just to make sure I understand your answer to Kimberly's question about categories. Are we now at a point where the gross margin rate across these different categories are essentially the same, because I would have thought as well that lower revenues in golf balls would've hurt the overall gross margin rate?
David Maher: No. We don't actually discuss specific margin rates by segment, but we've certainly said in the past that our equipment categories has got higher margins than our soft goods categories overall. But again, it's not -- what we saw in the first quarter wasn't really a category mix so much as the comp to the Pro V1 launch prior year.
Dan Wewer: Okay, thank you.
David Maher: Thanks, Dan.
Tony Takazawa: Thank you, Dan. Next question please.
Operator: Your next question comes from the line of Dave King of ROTH Capital. Your line is open.
Dave King: Thanks, morning guys. I guess how much did AVX contribute to the ball revenue in the quarter. How widespread was the U.S. launch? And then, David, do you have an early read on sell-through there and what ball has been taking share from? Has there been any cannibalization versus Pro V? Any thoughts there? Thanks.
David Maher: Yes. Good morning, Dave. So, just on timing, AVX launch really took place in the second and third weeks of April. We did ship a very, very modest amount of product into the market in some of our test markets in the first quarter. But really, the story just unfolded over the last several weeks. So, to the second part of your question, it's too early to say in terms of where it's coming from. Again, here we are roughly 7 or 10 days of product in the market around the U.S. marketplace.
David King: Okay, fair enough. Shifting gears a bit, it appears that on guidance the constant currency growth is expected to improve I think for the year overall versus the first quarter. What are the key drivers there? And then if you can how should we think about that bi-quarter? And then, sort of a follow-up on not taking up the guidance for FX until after Q2, is it fair then to assume that all else equal you would have been taking it up given the currency moves we see?
Bill Burke: Well, I'll answer the first question and then last one. And I'll throw the launch cadence to Dave. The constant currently guidance did not change from what we gave at the end of the fourth quarter. So that's not a -- there is no change there. But if you look at what we are seeing in currencies, we don't tend to do anything until the second quarter. And if you look at where we -- look at our rates, we are kind of looking at December when we are closing our plan. We are getting into January. And then, we are selectively adjusting some currencies. But we don't react to currencies too quickly until we get into the second quarter because as you can see right now, the pound sterling and the euro have pulled back fairly significantly in regards some more worries about Brexit. So, we don't tend to not react to that until we get to the second quarter and you'll have a large portion of sales involved in that period. As far as the launch cadence for the quarter, Dave might want to speak to that.
David Maher: Yes, Dave. Repeat -- I am trying to get at what your question is specifically.
David King: Yes, so in constant currency it seems like your overall revenue is down with 2.2% of -- memory says in the first quarter, but for the year, you are guiding up to 1% to 3%, I think. I guess I am trying to get a sense of what's the difference there. It seems like there is improvement from the first quarter. So, how should we think about that bi-quarter and then what are the drivers of that?
David Maher: Okay. So what's a little bit different this quarter around is some launch timing as we talked about. We've got an AVX launch which is domestic in Q2 and around the world in Q3. We talked about a couple of shoe launches that took -- that are playing out in April and otherwise first quarter last year. And then the final piece is we have got a 919 driver launch queued up for the fourth quarter of the year. So, our cadence in timing is a bit different this year. And I'll use this to just reinforce the importance for us of Q2 and Q3, which are really sell through fitting replenishment periods whereas Q1 really just filling the pipeline. And as stated, that happened about as we expected.
David King: Perfect. Thanks for the color and good luck for rest of the year.
David Maher: Thank you.
Tony Takazawa: Thanks, Dave. Next question please.
Operator: Your next question comes from Michael Schwartz of SunTrust. Your line is open.
Michael Schwartz: Hey, good morning everyone.
David Maher: Good morning.
Michael Schwartz: Just wanted touch on -- and I know we are early in the year. First quarter is not a big retail piece of the year. But can we talk about maybe some of the differences that you've seen between off course and the green grass channel here through maybe April? I know you are more heavily exposed to green grass. So I would assume that has a bigger impact on you relative to a maybe a lot of other folks out there?
David Maher: Well, we have seen and I think you are weaving in the weather comment as well.
Michael Schwartz: Yes.
David Maher: On a couple of fronts we have seen that hard goods have fared quite well this year which is bit at odds with weather. But, we've seen hard goods and equipment have a real good start to the year. We benefited from that both Titleist irons, wedges, putters, our club business has benefited with that and sell through as well. Consumables, ball and gloves this time of the year tend to be best co-related to rounds of play which are down. So not surprising we have seen overall this is less channel, but overall sell through of consumables down slightly which you would expect given the weather. But again coming through the first quarter and into April, yes again another thought to think about here is that the first quarter really is a relatively small quarter from rounds of play standpoint. In U.S. it represents less than 15% of the year with about 70% happening in Q2 and Q3. So from a channel standpoint, not a lot to glean other than I think both channels probably more off than on have had a nice run from a hard good standpoint than first three - four months of the year.
Michael Schwartz: Okay, great. That's helpful. And then, maybe just touching on your marketing strategy around club launches, I mean now you've changed some things going into this year in particularly with 718, so maybe just give us a greater sense of what exactly you're doing a little differently now versus before? And, maybe how you expect to replicate that with the 919 in the second half of the year?
David Maher: Yes. So, 781 has been a very effective successful launch for us. We continue to put a whole lot of resources behind fitting, behind our approach with the pyramid. But what was different this quarter around is we did invest a bit more behind advertising both social media and traditional advertising. We felt that our fitters needed that extra attention and pull to drive fitting activity. And we have seen that very successfully play out. As to 919, the idea is to follow the same template. And, you'll see us make more noise with 919 than we did with 917. We think that's important. And as to timing, you'll start seeing that sometime late summer when we begin in earnest our seeding process. Plans right now are to ship 919 in the fourth quarter. But a little bit like what happened was 17 - 718 rather you always look for an opportunity pull forward we can if availability allows. But right now the plans are for the fourth quarter.
Michael Schwartz: Okay, great. It's good color. Thank you.
Tony Takazawa: Thank you. Next question please.
Operator: Your next question comes from Kimberly Greenberger of Morgan Stanley. Your line is open.
Kimberly Greenberger: Thanks so much. Sorry, forgot to ask one, do you have any initial estimates on how we might think about the revenue opportunity for the AVX ball your North America in year one?
David Maher: Kimberly, it is really for us to say the best we can do at this point is point you to what we have seen from a share standpoint. But that's a bit -- that can be a bit misleading because it really reflects only three test market states. We're going to be a whole lot smarter on AVX in the coming months as we get a sense for sell through. And more importantly, repeat purchases. We do think and believe that Pro V1 will be far in a way the larger franchise to the tune of 45621. The size of the AVX, we are just sure exactly where it's going to shake out. So, I would love to give you a bit more color and specifics on it, but going to have to ask for a little bit of time to do that.
Kimberly Greenberger: Absolutely understood. Thanks, David.
Tony Takazawa: Okay. Thank you, Kimberly. Next question please.
Operator: There are no further questions at this time.
Tony Takazawa: Okay, thanks. We have a few concluding comments from David.
David Maher: Thanks, everybody. Here in New England, the temperature is going to be in the low 80s today, and it seems as though we've finally put weather behind us. So with that, we suggest you all go out this week and enjoy the warm weather and play some golf. As stated, the game is in a good place. We're in for an exciting run here beginning with this week's Wells Fargo Championship, where Greatfield [ph] is playing a terrific Quail Hollow Golf Club in a wonderful golf market of Charlotte. So, lots of reasons for optimism around the game of golf. We do appreciate your time and attention this morning. And we look forward to catching up in a few months. Thank you.
Operator: This concludes today's conference call. You may now disconnect.